Desiree: Ladies and gentlemen, thank you for standing by. My name is Desiree, and I will be your conference operator today. At this time, I would like to welcome everyone to the fourth quarter 2024 Albany International earnings call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during this time, simply press star one. If you would like to withdraw your question, again, press star one. I would now like to turn the conference over to JC Chetnani, VPIR and Treasurer. You may begin.
JC Chetnani: Thank you, Desiree, and good morning, everyone. Welcome to Albany International's fourth quarter 2024 earnings conference call. As a reminder for those listening on the call, please refer to our press release issued last night detailing our quarterly financial results. Contained in the text of the release is a notice regarding our forward-looking statements and the use of certain non-GAAP financial measures and their reconciliation to GAAP. For the purposes of this conference call, those same statements apply to our verbal remarks this morning. Today, we will make statements that are forward-looking and contain a number of risks and uncertainties, which could cause actual results to differ from those expressed or implied. For a full discussion of these risks and uncertainties, please refer to both our earnings release of February 26, 2025, as well as our SEC filings, including our 10-K. Now I will turn the call over to Gunnar Kleveland, our President and CEO, who will provide opening remarks. Gunnar?
Gunnar Kleveland: Thank you, JC. Good morning, and welcome, everyone. Thank you for joining our fourth quarter earnings call. I'll provide an overview of our business performance, and Rob will later discuss our financial results in detail, and then the outlook for 2025. We continue to perform well in both our businesses as evidenced by strong results at machine clothing and ongoing operational progress under new leadership at Engineered Composites. While we recognize additional EAC adjustments at AEC, the overall business fundamentals are strong, and we expect higher revenues and improving profitability over the next several years. For the full year, we reported record revenues of nearly $1.25 billion driven by organic growth at AEC and the Heimberg acquisition. Our focus on working capital and cash flow generated free cash flow of $59 million in the fourth quarter and $137 million for the full year, underlying the strength of the combined businesses. Our balance sheet continues to be in excellent shape, giving us the ability to execute our growth strategy. With the current and projected cash flow and strong balance sheet, we are able to return value to the shareholder as part of our capital allocation strategy. We have initiated our share repurchase program. In the fourth quarter of 2024, we repurchased $15 million of shares. The board has also authorized a new share repurchase program which supersedes our current program and is now up to $250 million. Turning to our businesses, machine clothing revenues in the fourth quarter were slightly below the same quarter last year due to a strong comparative period. Our focus in the second half of 2024 was to consolidate our operations and discontinue unprofitable product lines, primarily at the Heimberg business. This is part of the integration plan, and while it leads to lower top-line growth in the short term, it improves our bottom-line performance. In terms of grades, packaging and publication were down year over year in the fourth quarter, again driven by strong comparisons to the prior year. But the long-term trends remain positive, especially for packaging, our MC products' largest end market. Tissue and pulp remained stable, and we grew our sales in engineered fabrics, partially offset by publications. In terms of geographies, North America continues to be a strong contributor, while South America remains stable with slightly improving trends. Europe was generally flat year over year, and we'll be looking for some growth into 2025. Asia was also generally flat year over year with slight weakness in China. Our global MC backlog is stable. There's some consolidation in our paper customer base, and we're working with our customers through the transition as they move product to optimize their footprint. At Heimberg, our integration plan is on track. We have consolidated operations and streamlined our footprint. The business is a complement to the legacy Albany company in both geography and technology, and we continue to sell the product using the Heimberg brand. Our cross-functional integration process is progressing, and we have made considerable improvement in Heimberg's working capital levels, significantly contributing to our consolidated free cash flow results. Our exit run rate on synergies is strong, and we're on track to meet our financial goals. Overall, paper machine clothing delivers excellent financial results, and going forward, we forecast low single-digit revenue growth prospects. In our engineered composite segment, we recorded revenues of $99 million, impacted by additional EAC adjustments in the fourth quarter and lower LEAP revenues. These EAC adjustments were driven by the CH-53Ks and the Gulfstream programs. We continue to make progress on the CH-53Ks program but needed further adjustments to our EAC due to learning curve and material challenges. Our new leadership team in Salt Lake City is establishing robust processes and has invested in training and frontline leadership, enabling growth and learning curve improvements. The CH-53Ks is a large program, and our operating plan is aligned with our customer and their projected growth rate. This will be a significant and profitable program for us well into the middle of the next decade. After LEAP, CH-53K will be our largest program in terms of revenue. For Gulfstream, we're also making progress on manufacturing the parts and have a reduced volume exposure coming into 2025. We're growing more confident about space as an additional source of long-term revenue. In the quarter, we signed an LTA with a customer and anticipate solid growth from this and other customers in the medium and long term. In 2025 and the next several years, we also project growth in advanced air mobility with both traditional composite structures as well as our proprietary 3D woven technology. On the LEAP, we continue to monitor the situation at Boeing and are taking a conservative approach and projecting lower volumes both at LEAP and our other Boeing programs. As a result, we're projecting LEAP revenues of approximately $150 million for 2025. We remain ready with ample capacity to ramp up our production quickly as demand recovers. We work closely with Safran and monitor Airbus and Boeing recovery and are encouraged by some of the news from both Boeing and Airbus. Our defense business is positioned to grow with JASM and LORASM generally stable and with significant growth potential in the medium term. Hypersonics is developing with multiple opportunities, and we have invested internal funds supplemented by customer funding in this technology. With our near-net shape part approach and investment in capability and capacity, hypersonic parts will be a significant growth engine in the medium and long term. As these awards translate into purchase orders, they will be added to our existing AEC backlog, which at year-end was $1.4 billion. This backlog does not include LEAP volumes beyond the current year and only relates to our other AEC platforms. This does provide us visibility and confidence into our business performance beyond 2025. Overall, 2024 was a year of integration and optimization at machine clothing, while at AEC, we did a reset and took several actions to stabilize and improve operations to enable future growth and improving profitability. With all the opportunities for growth at AEC, this is a necessary and critical step that will pay major dividends for our growth ahead. We exited 2024 with one of our best years on record for cash generation with a stronger operational structure and have returned cash to shareholders through our share repurchase program and dividends. In 2025, we will strengthen our foundation to deliver future growth. Material science is the foundation of our businesses, and our ability to continuously develop around our materials and weaving technologies gives us an enviable position in our markets. We will continue to focus on cash, capital deployment, and strong business performance. At MC, the integration of Heimberg remains center stage. We recently announced that we are consolidating two facilities, and we are also divesting a non-core business in Italy. At AEC, the team is taking major steps to improve the operations as well as adding additional top talent in operations, planning, and supply chain management, enabling improvements in systems, processes, and workforce. All this realignment effort sets us up for a much healthier and successful next growth spurt. As we grow and strengthen the business, this year we will also consolidate all headquarter employees in the new office in Portsmouth, New Hampshire, to get the benefit of having the team together as well as improved access to talent for key corporate roles. We will be moving midyear 2025 and will close down our Albany, New York office while making the current Rochester office available to AEC. The transition will take approximately one year. Additionally, we are overhauling our executive compensation program. Last year, we included cash performance in the short-term incentive compensation. For 2025, we will change the long-term incentive from 100% EBITDA to one-third total shareholder return, one-third return on invested capital, and one-third EBITDA. We believe these actions will further align incentive compensation with long-term value creation. Looking forward, we are in an excellent financial position with strong cash flow and a supportive balance sheet to drive shareholder value and achieve our long-term objectives. While discrete items have impacted our short-term run rate and outlook, we have completed the vast majority of the hard work to address the issues. Our Heimberg integration is well underway with key actions announced, and we have rebalanced our program outlook at AEC to better reflect our current conditions. These actions, combined with the enhancements we have made to our leadership team over the past twelve months, position us to focus on our long-term plan. In the coming months, we will share more details with specific targets, but we are focused on these three primary goals. First, with much of the integration activities behind us, we're focused on growth in the machine clothing segment over the next five years. We believe there's opportunity for growth with our technology, product, and manufacturing leadership. Second, we are fortunate to have won a wide range of programs at AEC across structures, engines, and with our provided material science advantage. Taken together with the refinements we have made to key programs in 2024, this positions us for robust segment growth on the top line with compelling contribution margins over the long term. And third, through a disciplined capital allocation program, we can enhance our overall growth rate through additional R&D investments and inorganic active initiatives. We have $1 billion in dry powder and will take advantage of both organic and inorganic opportunities. I would also like to take this opportunity to thank our investors for their support through 2024, as well as our employees for their hard work and dedication. With that, I'll now hand it over to Rob to provide more details on the quarter. Rob?
Robert Starr: Thank you, Gunnar, and good morning, everyone. I will review our fourth quarter results and then provide our outlook for 2025. Before reviewing our fourth quarter results, I wanted to discuss an important change that we made in the fourth quarter regarding how we report global information cost. Previously, our global information system cost, or GIS, was shown in aggregate as part of corporate SG&A expenses. We are now reporting those costs at the segment level. It is our view that this better reflects the performance of the individual segments and is how we will review segment performance on a go-forward basis. Our consolidated EPS remains unchanged, and the individual gross margins for the individual segments remain the same, but our adjusted EBITDA margins for the individual segments will be impacted by this allocation. For Q4, we will discuss margins with and without the allocation for comparison, but starting in 2025, our conversation will focus on the margins including GIS costs. Consolidated net sales came in at $287 million, down from $324 million in the fourth quarter last year, primarily driven by lower revenue at AEC, which we will discuss further. Machine clothing net sales of $188 million decreased 1.9% versus the fourth quarter of the prior year, primarily driven by a comparison to a strong fourth quarter in 2023 in the packaging and publication grades in North America, offset with increased sales in engineered fabrics. AEC net sales of $99 million were lower versus the $132 million in the fourth quarter of 2023 on a GAAP basis, primarily due to a $14 million negative top-line impact from the EAC adjustments in the quarter, coupled with lower LEAP revenues of $10 million and lower 787 volumes of $2 million. However, we continue to experience growth in our space and advanced air mobility platforms. Of the $15 million in negative EAC adjustments recognized in the quarter, $9 million related to the CH-53 program and $3 million related to Gulfstream, with the remaining amount across a number of programs. Consolidated gross profit was $90 million, down from $120 million in the prior year, driven by the EAC cumulative catch-up adjustment of $15 million and $10 million at machine clothing due to lower gross margins at Heimberg. Machine clothing gross margin decreased from 48.8% in the fourth quarter of 2023 to 44.4% in 2024, largely due to lower gross margins at Heimberg. AEC gross margins decreased from 20% in the fourth quarter of 2023 to 6.8%, primarily driven by EAC adjustments that were detailed previously. Net R&D expenses remain relatively flat in the fourth quarter versus the prior year and were at 4% of revenue. Consolidated SG&A expenses as a percentage of revenue for the quarter were down from 20.9% in the prior year to 16.9% due to reduced wages and benefits, lower incentive compensation, and foreign exchange impacts. Corporate expenses adjusted for GIS expenses allocated to the divisions were at $10 million or 3.4% of revenue versus $7 million or 2.3% of revenue in the prior year. The effective tax rate for the quarter was 28% versus 22.6% in the prior year, mainly due to a shift in taxable income to higher rate jurisdictions as well as due to less favorable discrete tax adjustments as compared to the prior year. GAAP net income attributable to the company for the quarter was $18 million compared to $30 million last year, the reduction largely due to the EAC adjustments. GAAP diluted EPS was $0.56 per share in this quarter versus $0.97 in the same period last year. After adjustments primarily related to the Heimberg acquisition and other restructuring activities as detailed in our non-GAAP reconciliation, the adjusted diluted EPS was $0.58 versus $1.22 in the same period last year. Consolidated adjusted EBITDA was $50 million for the fourth quarter versus $75 million in the prior year period. Machine clothing adjusted EBITDA including GIS costs was $54 million, a decrease of 8.6% versus the prior year. Adjusted EBITDA margins were 28.5% versus 30.6% in the prior year. Excluding GIS costs, machine clothing adjusted EBITDA margins were 30.3% for the current fourth quarter, as compared to 32.1% in the prior year. AEC adjusted EBITDA including GIS costs was $6 million as compared to $24 million in the prior year period. Adjusted EBITDA margins at AEC were 6.1% of sales versus 18% in the prior year. Excluding GIS costs, AEC adjusted margins were 9.3% for the fourth quarter, as compared to 20.5% in the prior year. During the quarter, free cash flow was $59 million with positive operating cash flow of $78 million offset by capital expenditures of $19 million. This brings our year-to-date free cash flow to $137 million versus $64 million in the prior year. Our balance sheet remains strong with a cash balance of over $115 million and $482 million of borrowing capacity under our committed credit facility. Before discussing our outlook for 2025, I want to highlight that our outlook does not reflect the cost associated with our headquarter consolidation, which are currently estimated to be between $6 million and $8 million. The low end of our guidance reflects weaker than expected economic conditions, most notably in Europe, combined with challenges in our key AEC programs. The high end of our guidance reflects better than expected recovery in our European and AEC segments. Upside to the midpoint of our guidance represents higher LEAP volumes and accelerated growth in our advanced air mobility platforms. In 2025, we expect machine clothing's top line to decline by approximately 3%, largely due to foreign exchange headwinds and our decision to divest non-core assets. Adjusting for those two items, sales on a comparable basis are forecast to grow by approximately 2% as compared to a decline in the prior year. Our continued focus on delivering Heimberg synergies and operational efficiencies is forecast to result in an approximate 150 basis point improvement in adjusted EBITDA margin for the full year. AEC's top line will show modest growth led by CH-53K and advanced air mobility, largely offset by LEAP. In 2025, we expect adjusted EBITDA margins of slightly more than 13% at the midpoint of our range. Again, as a reminder, our adjusted EBITDA margins for both our segments now include GIS costs and are not strictly comparable to the prior years. The impact is approximately 3% for AEC and for machine clothing margins. In total, our consolidated adjusted EBITDA is expected to grow by approximately 8% in spite of FX headwinds and our investment in new business ventures, reflecting improved underlying performance at machine clothing combined with recovery at AEC. We are, however, facing certain EPS headwinds below the line. Our interest expense is forecasted to increase as our prior interest rate swaps, which were placed back in 2021, expired in the fourth quarter of last year. We have partially offset this by significantly reducing our debt balance, utilizing EuroDebt to take advantage of natural hedge opportunities, and placing new hedges. This has all helped to offset the overall impact of the interest cost increase. Our interest cost is projected to increase by approximately $5 million in 2025. The second headwind we face is with respect to our tax rate, which is expected to increase to 31% in 2025. This is due to a shift in taxable income to higher rate jurisdictions. Please note that our 2024 effective rate of 24.8% benefited from a number of discrete items that are not forecasted to repeat in 2025. All of this translates to an EPS range for 2025 between $3.00 and $3.40, with the midpoint of our guidance at $3.20. In terms of net earnings cadence, we expect 60% of our net earnings to be recorded in the second half of 2025 and project Q2 results to be stronger than Q1. This is due to the expected rapid AEC combined with the acceleration of Heimberg synergies. Now I'd like to open the call for questions. Operator?
Desiree: Thank you. We will now begin the question and answer session. If you have dialed in and would like to ask a question, please press star one on your telephone keypad to raise your hand and join the queue. If you would like to withdraw your question, simply press star one again. If you are called upon to ask your question and are listening via speakerphone on your device, please pick up your handset to ensure that your phone is not on mute when asking your question. Again, press star one to join the queue.
Desiree: And our first question comes from the line of Steve Tusa with JPMorgan. Your line is open.
Chigusa Katoku: Hi. This is Chigusa Katoku on for Steve. Thanks for taking my question. My first question is on AEC. You provided an update on the CH-53K and Gulfstream where you've been seeing some challenges. But what's embedded in your 2025 outlook as to how these progress through the year? And then on the AEC margins, it's implied in, like, the 13.5% range for 2025 versus the 4Q exit rate of 6%. But how do you kind of expect the margin to ramp through the year? You probably can't get back to the 20% because of the cost reallocation. But can you get back to, like, the 17% range adjusting for the 3% impact that you mentioned maybe in the back half?
Gunnar Kleveland: Well, so the plan for 2025 is with a current projection of performance at AEC. We believe that over time, we can, and with the adjustment from GIS, we can be in the mid to high teens performance. And it'll take us going through 2025, but our plan now with our current projection is as as as
Robert Starr: Yeah. Chigusa. I just if I may. The way to think about it is these EAC adjustments that we've taken through the fourth quarter reflect our best estimate of the go-forward margins, which are reflected in our outlook of 13.5%. To Gunnar's point, we have a number of actions in place to do better than that over time. But I think it's just important to remember that the guide reflects an EAC that is our current best estimate as to how the program will perform going forward.
Chigusa Katoku: Okay. Thanks. And then as a follow-up on the free cash flow, you did well over 100% this year, which is great. But how should we think about that for 2025 and then maybe on a go-forward basis as some of these ramp issues are resolved? Thanks.
Gunnar Kleveland: Yeah. No. No. It's a good question. You know, we expect cash flow to
Robert Starr: range between, let's call it, $90 million and about $120 million this year. Our internal targets are to return net cash flow above 90% of net income in terms of our conversion, that's really what we target. And the team has done a phenomenal job at really attacking the working capital balances. So what you saw this year is probably a slight level of overperformance in terms of, you know, taking down the working capital. But going forward, and as Gunnar mentioned, with our new incentive comp structures, right, people are aligned to focus on cash and balance sheet efficiency.
Chigusa Katoku: Okay. Great. Thank you.
Robert Starr: Thank you, Chigusa.
Desiree: Our next question comes from the line of Peter Arment with Baird. Your line is open.
Peter Arment: Yes. Good morning, Gunnar and Rob. Could you
Robert Starr: Hey. This is Rob. Can Gunnar, could you maybe talk a little bit about you mentioned a more conservative kind of view on Boeing's production rates. Just trying to square that with, obviously, we're seeing higher potential rate breaks. Is it more of an inventory issue or just cautiousness just given the history that we've seen with Boeing in the last couple of years?
Gunnar Kleveland: That's a good question, Peter. And it is a function of inventory that we're working through, but we are being cautious. And as I talk to others in the industry, I think we're not alone about being cautious about the recovery. It is like I said, it has some positive signs on what the delivery is, but I am cautious to see the actual move rate at Boeing before we make adjustments. And also on LEAP specifically, we're working with Safran. We're aligned on our build plan there, and we are continuously this is a month by month. I am beginning to be hopeful that there could be a ramp up towards the end of the year because there is light at the end of the tunnel. And next year is going to be a strong year. I firmly believe so the ramp-up there is what we're preparing for right now.
Robert Starr: And, Peter, just one other thing there. Based on our manufacturing footprint and our experience with the program, we have the ability to ramp very quickly. So we have the flexibility to adjust to market conditions as they evolve.
Peter Arment: Okay. So potentially cadence potentially higher in the back half of the year if need be. So, Gunnar, just also on the CH-53K, obviously, you've replaced the team there last year. You're feeling confident about that team. Just how do you talk about just kind of some of the challenges that you worked through this past quarter and how do we think about that, the improvement for that program as we go into 2025?
Gunnar Kleveland: Yeah. The I would say in the fourth quarter, a lot of the actions there were with, you know, Chris Stone at the helm. He got in there, worked with our frontline leadership development with our training of our employees with the processes. The two areas of focus outside the factory were supply chain. The supply chain is quite extensive on this program with, you know, our internal supply chain much easier to balance than the external supply chain. And then the planning. So supply chain planning, training, and frontline leadership have been the key areas of improvements. And we've also made in the first quarter this year, we've made or added talent in those areas. So we have operational leadership that has a strong background in the assembly of complex aircraft, we have planning talent that has a strong background in aircraft assembly, and we have a new supply chain leader for AEC that also has a strong background in complex supply chain. So with the focus on the improvements as well as adding the talent in there, that's what gives me the confidence about the path forward.
Peter Arment: Got it. Appreciate the call. And then just lastly, Rob, just around working capital, how do we think about that or cadence-wise for this year?
Robert Starr: Yeah. We're going to continue to focus on working capital. I think what you're going to see is we're going to continue to make some headway on our working capital balance this year. We expect our net earnings clearly to be higher, minus all these adjustments. So once again, the team has just done a phenomenal job. And this is also, whether it's supply chain, working with our vendors and our customers. Right? Everyone's kind of chipping in. Excuse me. To continue to work at it. Because I think in particular, as we integrate Heimberg, we're finding opportunities of machine clothing as well to take down the working capital balances.
Peter Arment: Got it. I appreciate the color. I'll jump back in queue. Thanks, guys.
JC Chetnani: Thank you, Peter.
Desiree: And our next question comes from the line of Michael Ciarmoli with Truist Securities. Your line is open.
Michael Ciarmoli: Hey. Good morning, guys. Thanks for taking the questions. I guess just back to LEAP, thinking about where plant production is of LEAP volumes this year, I guess, up 15% to 20%. I think, I don't know if the math is exactly accurate. Maybe you guys are down 10% to 12%. So presumably, all destocking and is that how we should think about the inventory in the channel?
Gunnar Kleveland: There's some destocking across the whole channel, and I would say that's per task, Michael. And then I, you know, we're ready for what happens in the second half depending on how the recovery and the ability of Airbus, frankly, to grow. Remember, Airbus is a major part of the LEAP program, and so we're monitoring that as well.
Robert Starr: Yeah. And, Mike, just I mean, I'm sorry, you know, right? And last year, both Safran and GE had started the year in 24% to 25% growth expectations for LEAP deliveries. And that ratcheted down to where we ended, I think, down probably 10% or 15%. So when Gunnar mentions that we're being a little bit conservative, you know, that is really what we're trying to do is not get too far ahead and partnering with Safran. Right? They see the same thing. So and we have the ability to flex.
Michael Ciarmoli: Got it. That makes sense. And then just on the new comp structure, Rob, maybe. I guess two questions. I mean, where I think you said total shareholder return was one of the bogeys there. But if I think about kind of the EACs you've taken, I don't know if you can share if it's your AEC margins have been sort of structurally pressured here. And why are EBITDA margins? I guess I interpret that as absolute EBITDA dollars being part of the bogey, but is it more challenging to think about EBITDA margins on a go-forward basis given some of the execution and even maybe other new start programs that we might not be aware of?
Robert Starr: Yeah. So you know, if I think about your question, the long-term comp, right, as Gunnar mentioned, has an adjusted EBITDA component to it. And that level is set in conjunction with work with the board on our long-term plan. Based on, you know, which is going to reflect kind of the go-forward margin expectation for the business. And as you can appreciate, the plan is definitely success-oriented. I mean, it's definitely a target that is not easy to achieve. Right? The board wants us on our front foot. And, you know, that's and then the shareholder return, I mean, that is something that's new. I mean, I would say we did a lot of work with our outside compensation consultant to design a structure that should drive, you know, long-term shareholder creation, especially with the addition of ROIC. That is something in terms of capital efficiency on the balance sheet that we are very focused on as we deploy capital. So that is something that we feel really good about where that long-term structure is headed. And we really believe that diversifying the metrics will result in long-term shareholder value creation.
Gunnar Kleveland: So if I may add, the EBITDA is dollar. And we have it in both the short term and the long term. So returns in the short term and long term remain important to us. We added the cash in the short term because we wanted to focus there on working capital, making sure that we converted our earnings to cash so that we could use it for all the other things that we're trying to do. But in the long term, the relative total shareholder return is an important metric for us, as well as the return on invested capital. So I think it is a much healthier setup for the long-term incentive. But we're both interested in how we spend our capital as well as the earnings that we make.
Michael Ciarmoli: Got it. Fair. Alright. Thanks, guys. I'll jump back in with you.
JC Chetnani: Thanks, Mike.
Desiree: Press star then the number one on your telephone keypad. And we have a question coming from the line of Jordan Lyonnais with Bank of America. Your line is open.
Jordan Lyonnais: Hey. Good morning. Good morning, Jordan. Could you guys talk through how you're thinking about tariff risk, an increase in pressure just with trade for China? And is it contemplated in your guide? And if it is, to what degree?
Gunnar Kleveland: Yes. I mean, I would say that uncertainty is high, and we're not making any reactions to the uncertainty right now. We're doing a lot of analysis on potential impacts and our reaction once a decision is made. The impact with China is de minimis. So, you know, we've done all of the hard staff work to be ready for this. Where it'll end up, I cannot predict, Jordan.
Jordan Lyonnais: No. That's fair. I just wanted to see how you guys were thinking about it. Alright. And then two, on the new defense programs that you guys have coming up that you're ramping on, are you concerned at all with the new administration's focus on driving costs down? You'll see that pressure from the primes on those contracts?
Gunnar Kleveland: Yes. I think there might be some pressure on certain programs. Which programs will be targeted is uncertain. Our position on those targets or on our programs, because we do have an increased focus on long-term contracts, I feel fairly certain about our stability in the long term there. The volumes could change. And I would say they could change in both directions depending on which program you're on. So we're watching that diligently. And, again, there's a lot of uncertainty. Nobody likes the uncertainty. But we are working through scenarios where we think that there might be exposure. Right? So this is taking a lot of our time, Jordan.
Jordan Lyonnais: Alright. Thank you. Appreciate the time.
JC Chetnani: Thank you.
Desiree: That concludes the question and answer session. I would like to turn the call back over to Gunnar Kleveland for closing remarks.
Gunnar Kleveland: Thank you. And thank you, everyone, for joining us on the call today. We appreciate your continued interest in Albany International. Thank you, and have a good day.
Desiree: Ladies and gentlemen, this concludes today's conference call. You may now disconnect.